Operator: Good day, and welcome to the Match Group First Quarter 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Tanny Shelburne, SVP of Investor Relations. Please go ahead.
Tanny Shelburne: Thank you, operator, and good morning, everyone. Today's call will be led by CEO, Bernard Kim; and President and CFO, Gary Swidler. They'll make a few brief remarks, and then we'll open it up for questions. Before we start, I need to remind everyone that during this call, we may discuss our outlook and future performance. These forward-looking statements may be preceded by words such as we expect, we believe, we anticipate or similar statements. These statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our earnings release and our periodic reports filed with the SEC. With that, I'd like to turn the call over to BK.
Bernard Kim: Thanks, Tanny, and good morning, everyone. Having served as CEO for nearly a full-year, I want to start off by highlighting the accomplishments this team has achieved and all the opportunities ahead. We've made changes to set up Match Group for long-term growth, but there is a lot more work to do and areas to improve on. We restructured Match Group's businesses to optimize internal operations, increase cross-brand collaboration and improve the speed to ship products. These changes are having a real impact and the teams have never worked this closely together before. We are working together to innovate, tackle challenges and reaccelerate growth. Hinge continues to set the bar for what an A+ acquisition should look like. We acquired Hinge in 2018 when the app was generating just under $1 million in revenue. Just five years later, Hinge has surpassed 1 million payers and is on track to generate approximately $400 million in total revenue for 2023. Hinge's exponential growth is largely due to the team's passion and ability to focus on product, coupled with Match Group's expertise and operational support. In addition to its meaningful traction in English-speaking markets, Hinge is successfully expanding internationally, and we are impressed with these early results. The team also successfully launched a new subscription tier, HingeX, and has so much runway ahead. I continue to be impressed by the momentum at Hinge, and I'm excited to see them grow to new heights as part of the Match Group family. Now turning to Tinder, where the majority of our energy has been focused. As you all know, we've made some changes to the Tinder leadership team and restructured Tinder's organization to immediately address the lack of output that was occurring. These changes have shored up the frequent turnover and loss of institutional knowledge that Tinder was facing. Just to give you an example, we had roughly 15 VPs and above voluntarily depart Tinder in the months before the new leadership team took over. Since then, we have not had a single person of that level voluntarily depart Tinder. Back in February, we shared a detailed product roadmap for 2023. This roadmap is a culmination of our near-term vision for Tinder, and the whole organization has rallied around it. The changes we've made are working. In fact, the team is shipping and testing more features than they were at the height of their delivery in 2021. Tinder recently launched weekly subscription packages in the U.S. in addition to optimizing tiered pricing. We launched these initiatives at the very end of Q1, and we are starting to see early revenue momentum beginning to build in April, but it is still early. One of the things I've learned in my role as CEO of Tinder is that dating platforms have a delicate ecosystem, and it's important to fully understand the impact, new features or minor adjustments can have on the user experience, not only for payers, but non-payers as well. So it is vital for our teams to rigorously test and ensure we are introducing the right features for the ecosystem as a whole. This cautious approach to testing new features and rolling them out methodically is one reason why the revenue impact is muted at the start, but will grow over time. Another key focus has been redefining Tinder's brand narrative. Tinder rolled out its marketing campaign in Q1 and it's having a strong initial impact. Its primary focus was to improve perception, especially among young women. As we detailed in the letter, we've seen noticeable improvements in brand consideration and intent. Marketing began in the U.S. and UK and then has now expanded to additional markets. As a result, Tinder has started to see improved user growth in several key markets, including the U.S. and UK, but it is only the first step in a multi-phase campaign. As the team continues to build on this momentum and focus on execution, I believe Tinder is well positioned to exit 2023 with improved financial performance and longer term sustainable growth. Zooming back out, Match Group's purpose is to expand and innovate the dating experience for singles around the world so everyone can find a meaningful connection. I have tasked our new CTO to work with our leadership team to evaluate emerging technologies like AI, which we believe can be a massive unlock for the category, the same way that the shift to mobile led to the creation of Tinder, which redefined the category just 10 years ago. There is a significant opportunity to leverage AI in profile creation, matching and discovery, as well as throughout the post-Match experience to unlock new user adoption. We believe we can leverage these new capabilities to drive the next phase of growth. As a leadership team, we are cognizant of the delicate balance between achieving short-term revenue wins while driving sustained shareholder value. We are focused on achieving both objectives prudently, assessing the trade-offs and opportunities to hit our 2023 expectations while also delivering unique, innovative and compelling user experiences for years to come. And with that, I'll kick it over to Gary.
Gary Swidler: Thanks, BK, and hello, everyone. Our Q1 2023 total revenue was still not to the standards we expect of ourselves coming in at $787 million, down 1% year-over-year. FX was a notable headwind once again as our total revenue would have been $822 million, up 3% year-over-year on an FX-neutral basis. The year-over-year FX headwind was $7 million more than we expected when we provided our Q1 outlook on our February earnings call. The unexpected additional headwind resulted in total revenue slightly below the range that we provided on that call. Direct revenue, which is revenue we earned directly from our users, was down 1% year-over-year, up 3% FX-neutral in Q1. This was driven by total payers down 3% year-over-year to $15.9 million and RPP up 2% year-over-year at $16.26. On an FX-neutral basis, Q1 RPP was up 6% year-over-year company-wide. Tinder slightly underperformed our expectations in the quarter. Tinder direct revenue was flat year-over-year at $441 million, up 4% FX-neutral. Tinder payers were relatively flat year-over-year in Q1 at $10.7 million and RPP was also relatively flat year-over-year at $13.80. Tinder saw year-over-year subscription revenue growth, while à la carte revenue declined year-over-year impacted by the macro environment. Tinder released weekly subscriptions and undertook pricing optimizations in several markets, including the U.S. towards the end of the quarter, limiting their revenue impact on Q1. User growth in the quarter was slightly below our expectations. However, in April, we've started to see much improved Tinder performance as the top of the funnel has strengthened somewhat, and the weekly subscription and pricing optimizations have begun to deliver tangible revenue contribution. Tinder plans to test weekly subscriptions and pricing optimizations in additional markets this quarter. Tinder introduced its marketing campaign in Q1 and it's achieving its objectives of improving brand sentiment, especially among younger users, particularly women. As a result of that campaign, Tinder's market position in terms of downloads has improved in several key markets, most notably the U.S. and the UK. Our Hinge brand continues to perform very strongly. Hinge grew direct revenue 27%, 30% FX-neutral year-over-year, slightly ahead of our expectations as performance in core English speaking markets continued to be outstanding. Hinge payers were up 15% and totaled over 1 million in the quarter, while RPP of over $25 was up over 10% year-over-year. The new subscription tiers at Hinge continue to contribute as well with the 20% take rate of the more premium tier HingeX consistent with our expectations. And as we detailed in the letter, Hinge's European expansion continues to have major traction. Our MG Asia business saw year-over-year direct revenue declined 13% in Q1, though down only 3% FX-neutral. At Hyperconnect, Azar grew direct revenue 4% year-over-year, though much stronger on an FX-neutral basis, but Hakuna and Pairs saw year-over-year declines. At Evergreen & Emerging, direct revenue declined 8% year-over-year, 6% FX-neutral as we continue to moderate marketing spend at the Evergreen Brands. The Emerging Brands, including Chispa, BLK, and The League collectively grew direct revenue in excess of 50% year-over-year. Both MG Asia and E&E performance was consistent with our expectations. Indirect revenue was $13 million in Q1, down 14% year-over-year as marketers globally continued to tighten advertising budgets and ad prices declined. Operating income was $198 million in Q1, a 5% year-over-year decrease for a margin of 25%. Q1 adjusted operating income or AOI was $263 million, down 4% year-over-year, representing a margin of 33%. Q1 AOI and margins were above our prior expectations, despite the total revenue shortfall versus our expectations as we continue to focus on costs, reducing marketing spend further and rationalizing some additional overhead costs as well. We incurred approximately $4 million of severance and similar costs in Q1. Overall expenses, including SBC expense were essentially flat year-over-year in Q1. Cost of revenue, including SBC expense, grew 2% year-over-year and represented 30% of total revenue flat year-over-year. Live streamer fees declined, but App Store fees increased year-over-year, primarily due to the $8 million escrow payment to Google, the last of which will be due in Q2. Selling and marketing spend, including SBC expense, decreased $15 million or 10% year-over-year. The fourth consecutive quarter, where we've seen a year-over-year reduction as we continue to reduce marketing spend at our Evergreen Brands and to exercise ROI discipline overall. We increased sales and marketing spend meaningfully year-over-year at Hinge and modestly at Tinder, but it was down year-over-year at virtually all other brands. Selling and marketing spend was down 2 points year-over-year as a percentage of total revenue to 17%. Product development costs, including SBC expense, grew 25% year-over-year and were 12% of total revenue, primarily reflecting the impact of engineering hiring at Tinder in late 2021, early 2022 and at Hinge. At this point, Hinge is the only major business within our portfolio where hiring remains particularly active. Interest expenses increased 13% year-over-year in Q1, primarily due to the floating rate structure of our term loan, but interest income also increased very meaningfully given higher rates we are earning on our cash. Our gross leverage was 3.5x trailing AOI and net leverage was 3x at the end of Q1. Our target remains for net leverage to be below 3x. We ended the quarter with $578 million of cash, cash equivalence, and short-term investments on hand. We repurchased 2.6 million of our common shares in the quarter for $113 million. At the end of Q1, we had only 2.7 million shares remaining under our existing buyback authorization. Our Board of Directors has authorized a new $1 billion buyback to replace the existing plan, which we expect to deploy over the next two to three years. As we discussed in the shareholder letter, we expect to generate approximately $800 million of free cash flow this year with further growth over the coming years. Going forward, we intend to return at least 50% of our free cash flow to shareholders. In consultation with our Board of Directors, we will determine the right timing and tools to use for return of capital. Our capital allocation priorities are one, to invest organically in our business; two, to strengthen our balance sheet; and three, to make compelling acquisitions. We may opt to return even more capital to shareholders if we do not identify sufficient compelling investment or acquisition opportunities. For Q2 2023, we expect total revenue for Match Group of $805 million to $815 million, up 1% to 3% year-over-year. We expect FX to be slightly more than a 1 point year-over-year headwind. At Tinder, we expect direct revenue to be up low-single digits year-over-year, also with a little more than a 1 point year-over-year FX headwind. On a sequential basis, we expect Tinder direct revenue to increase in the low-to-mid single-digit percentage range. This strong sequential growth demonstrates that momentum is building and gives us confidence in achieving the strong exit rates we anticipate in Q4. We expect Tinder Q2 payers to decline year-over-year and sequentially. There are a number of initiatives in flight globally, including the introduction of weekly packages and the implementation of price changes, which are having various positive and negative impacts on payers and are being rolled out at various times in various markets. It is important to understand that Tinder in the U.S. elected to implement one of the higher price levels it tested, which we believe will maximize direct revenue, but will correspondingly have a large negative impact on conversion and payers. We expect that Tinder sequential payer additions will be much stronger by the end of the year once these changes are implemented. We expect Hinge to deliver a meaningfully accelerating Q2 year-over-year direct revenue growth, driven by continued strong performance in Hinge's English speaking markets and the effects of the new pricing tiers and continued European expansion. We expect MG Asia to decline modestly year-over-year in Q2 and be essentially flat year-over-year on an FX-neutral basis. We expect our Evergreen & Emerging Brands direct revenue to decline year-over-year at similar rates as was the case in Q1 with similar growth rates at each of the Evergreen & Emerging groups of brands as was the case in Q1 as well. We expect Q2 indirect revenue to be closer to flat year-over-year as we broaden the opportunities we offer for advertising in our products. We expect AOI of $275 million to $280 million in Q2, representing margin of approximately 34% at the midpoints of the ranges. We expect overall marketing spend to increase year-over-year in Q2, specifically at Tinder and Hinge with reductions in almost every other brand in the portfolio. We do expect to allocate some marketing dollars to our newly incubated app to support its introduction this summer. We expect IAP fees to continue to be a year-over-year headwind in Q2, though we expect to stop placing funds into the Google escrow after July per the terms we have agreed to. We expect to continue to be very cautious on spending in all other spending categories within our control. We anticipate incurring approximately $4 million of severance and similar costs in Q2. Given the emerging success of the recent initiatives at Tinder and the momentum we expect the business to continue to build over the coming quarters, we have confidence that in Q4, Tinder year-over-year direct revenue growth will reach double digits, as will the company's overall year-over-year total revenue growth. We admittedly have had a modestly weaker Q1 and anticipate a slightly weaker Q2 than we expected when we provided our full-year outlook back in November of last year. As such, there is an increasing likelihood that we will be closer to the lower end of our total revenue growth outlook for the full-year. That said, marketing and product momentum is improving at Tinder and we've had strong performance in April, so we are eager to see how all the initiatives continue to progress. We also remain confident that Hinge's momentum will lead it to deliver approximately $400 million of direct revenue in 2023. In terms of full-year 2023 AOI margin, we continue to target flat or better than the 35% we achieved last year. We continue to expect improving year-over-year margins as the benefits of our cost savings initiatives take hold and Tinder topline growth reaccelerates. There continues to be a lot of developments in both legal systems and legislatures around the world regarding App Store policies, and we remain optimistic that further change is coming, especially as a result of the Digital Markets Act in the EU early next year. The most recent news was the Epic Games versus Apple Appeal in the 9th Circuit. As a result of that decision, we are increasingly hopeful that we will be able to promote less expensive payment methods with improved customer service to our users in the not too distant future. When we provided our full-year outlook last November, I said that we expected to take a little time in the first half of 2023 to build momentum, but are confident that improved product momentum and our financial discipline positioned us for much stronger growth and profitability in the back half of the year as well as long-term. That view has not changed. We would have preferred to see a little more momentum at the outset of 2023, but we strongly believe the changes we've made are working, momentum is gradually building, and we are positioned for much better financial performance by the end of this year, which should provide momentum into next year as well. Additionally, we believe that the combination of our updated capital allocation approach and our path to stronger growth can create a very compelling level of return for our shareholders. With that, I'll ask the operator to open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from James Heaney with Jefferies. Please go ahead.
James Heaney: Thanks for taking the question. Just for Gary, can you talk specifically about the encouraging signs that you're seeing at Tinder in April? Is that primarily around the success you're seeing on price increases? Or are there other specific optimizations that are driving the uplift? Thanks.
Gary Swidler: Thanks, James for the question. Good morning. We've actually seen improvement in several Tinder KPIs here in April. And really, what I'm referring to is new user sign-ups as well as reactivations of old users. And we've seen improvement because of the marketing campaign and other initiatives that Tinder has undertaken. In terms of the revenue lift, the new weekly subscriptions and price optimizations didn't rollout to any significant extent until April. And now they're in five major countries, which is leading to incremental revenue. So we're seeing strength both in terms of top of the funnel and the revenue initiatives really take hold. We're going to test these price optimizations in several geographies in Q2. And as we rollout the weekly subscription packages in many more markets, that's going to add incremental revenue. One month isn't enough to really make a call, but we feel optimistic given we're seeing the initiatives have success with the top of the funnel and on the revenue side. And so as a result of that, our outlook contemplates sequential revenue improvement in Q2 compared to Q1. And that's showing that what BK and the team are doing at Tinder really is leading to results, and that's giving us much improved optimism.
James Heaney: Thank you.
Operator: Our next question comes from Ygal Arounian with Citi. Please go ahead.
Ygal Arounian: Good morning, guys. Thanks for taking the questions. Just continue on Tinder on the product road map. And I want to focus on the product side, not the monetization here. And can you talk about what are the most important products on the road map? Maybe take some time to hit on the women's experience more specifically as well. How much lift is there on that to get on par with the competing dating apps? And thinking about some of the commentary in the letter pointing to users that are trying to drive other uses of the third-party apps and how that's been impacting the experience on Tinder. Thanks.
Bernard Kim: Thanks for the question, Ygal. Gary mentioned our recent momentum that we've seen over the last month, and that's been really exciting for us. But what I wanted to jump in a little bit about is like our journey because we had a bit of a start, stop and then start again. Jumping in, I actually thought we could have moved a lot faster, but we're really diligent around setting up a stable and solid culture with the team. And what I wanted to do was really get the team focused and reduce some of the distractions. In doing that, we had to galvanize the organization around a clear road map. And this can be challenging to do with a lot of creative and technologists that have a lot of great swirling ideas. But for us to do that, our CPO came up with this concept around three Rs: relevancy, realness and respect, and creating experiences within our ecosystem and our platform that ensure that our daters are having a rewarding experience within Tinder every single day. When you're asking me to kind of pick the most important features, it's actually hard to do that with our road map because everything is intertwined. And there's been a lot of thought about how these features go against one another and how they work together. But I guess I can maybe highlight three of those features. One of the features that I look forward to us rolling out more broadly is called Just For You. This is a feature that was designed from the ground up based on in-depth research that we have to create matches with features and people that matter most to women. What we want to do is deliver great matches, so women have a good experience. And when women have a good experience, that will lead to men having a better experience as well. I believe that Just For You will lead to better matches, conversations and hopefully real-life meetings. When it comes to platform health, we are very focused on maintaining the quality of the user experience and the user base, and this gets to real miss. We want to utilize our technology and scale and policies to eliminate bad actors and spammers from our platform. And we've started those efforts today, and we're grinding through that throughout the year. And this is, I think, going to lead to a healthier ecosystem, will lead to better experiences and better revenue for us as well. Another product that I'm personally really excited about is the high-end member experience that is currently in development. We have a great team working on this. This product set is compelling and I think will actually tap a new experience within Tinder. We are going to offer experiences for users to find the right matches faster in a fun way with less effort. I'm really looking forward to that rolling out this year. I've spent my career working with product teams, and I think that we did the right things to build the right foundation, and we're starting to see that momentum really hunt over the last couple of months as our product velocity has increased dramatically from where we were at this time last year. Thanks for the question.
Ygal Arounian: Thank you.
Operator: Our next question comes from Jason Helfstein with Oppenheimer. Please go ahead.
Jason Helfstein: Hey. Thanks for taking the question. So can you talk about the Tinder price testing in a bit more detail on why you feel confident that this is the right move strategically? I completely understand about the weekly, but the idea of just like the price increase at the kind of the longer-term plans, more premium. And then you used the word additional color on what significantly meant. And then just secondly, more for housekeeping, but how are you thinking about specifically about second half Tinder net adds? Thanks.
Gary Swidler: Sure. Let me jump in and take that, Jason. I know this is getting a lot of attention. And so I want to try to explain kind of the philosophy behind what's going on at Tinder because it's not just a case of random price testing here and there. Really what Tinder has done is embarked on a comprehensive strategy around pricing and optimizing their business, which is something that really should be happening on a regular basis, but hadn't been happening until a couple of quarters ago, and really now they've thoughtfully gone through pricing strategy. And we talked a little bit about this in previous quarters, where we think through discounts and offers and things like that, that have existed to try to determine whether those make sense from a long-term value perspective. And we've looked at some of those programs and have eliminated them because we didn't think they made sense from a long-term value perspective. So you saw some impact on payers going back to last year, and that continued in the first quarter as Tinder continued to rationalize and optimize. So that was kind of the first piece of it that I want to make sure people understand. And as I said, it's part of a much more comprehensive and well thought through strategy that Tinder is actually very good, and the company generally is very good at thinking through. And so now here in the first quarter, at the very end of the first quarter, we've looked at pricing in all the different geographies where Tinder operates. And we believe that the prices that Tinder offers are well below the competitors, well below market. And so there's room to increase price in certain spots. And we've tested variance to see what will be revenue maximizing. Because what I've talked about many times is we're not focused on a specific KPI, whether it's payers or RPP and driving those, we want to maximize overall revenue at Tinder. And so we tested various levels in the U.S. in Q1. We've settled on a level to rollout, and that's going to have effect on Q2 payers overall as we roll that through the system. And now we've expanded those price tests into four additional geographies: Canada, the UK, Australia and Japan, so four important geographies for Tinder. And we don't know exactly what variants are going to make the most sense, are going to maximize revenue in those geographies. So we're going to test again. But if you assume that the same kind of variant prevails in those geographies that prevailed in the U.S., we expect to see as the year rolls on, additional impact on conversion and payers from that change in price. But again, it will be revenue maximizing. And so the fact that the changes that we've made in the U.S. appear to be working and appear to be driving incremental revenue, we expect the same thing in these other geographies. That's giving us confidence in incremental revenue for Q2 and into Q3 for Tinder, but there will be corresponding negative effects on the payers' numbers through those quarters. It depends on what variants prevail to determine what significant means. But obviously, there's an inverse correlation between the price and the impact on payers. And what I can tell you is I think as this all washes through the system late in the year, we think that we'll see a significant improvement in sequential payers at Tinder. And so we need to have all of these pricing changes play out, these optimizations play out. And once we do that, the business will be where it should have been, and ultimately, will return back to sort of a more normal cadence of payer net adds. So hopefully, that's helpful to give people a better understanding of what's going on. And this is a project that's never going to truly finish. So there's a big bulk of work that's a little bit of catch-up. But ultimately, on a regular basis, we need to be optimizing price, we need to be thinking through the dynamics in these markets, and Tinder is going to do so going forward.
Operator: Our next question comes from Dan Salmon with New Street Research. Please go ahead.
Bernard Kim: Dan, are you there? We can't hear you.
Daniel Salmon: There you go. Sorry about that. Can you hear me now?
Bernard Kim: We can.
Daniel Salmon: Okay. Good stuff. So I just wanted to ask a little bit more about Tinder's brand campaign. It sounds like you're happy with the early returns on it. Maybe can you talk a little bit more about where it goes from here? You mentioned expanding it into new markets, but is regular marketing support of this nature something you see as an ongoing thing? The brand needs to be supported regularly. Happy with the creative. Is there – are there any iterations coming along those lines? And maybe if I can just slip in one more to BK or Gary. Obviously, the Board made a fairly significant change in making a commitment to return 50% of free cash flow every year. And obviously, buybacks are going to be a big part of that. Maybe just one quick one, are you considering a dividend?
Bernard Kim: Great. Thanks so much, Dan, for the question. I'll handle the first part, and Gary can handle the second part of the question. First, I want to thank you for asking that question around the marketing campaign, because we have a fantastic team that has been working really hard to get this campaign out in the marketplace. One of the observations that I made upon joining Tinder and leading that organization is that historically, we've relied too much on virality of the app to spread in the marketplace. We have not invested enough in that brand narrative. And that narrative has kind of taken its own story. And that's why this team that we put in place went in with a tremendous amount of passion and energy and speed. And the idea that it all starts with a swipe really tells the story around the multiple different possibilities that can come from jumping into Tinder first time or jumping in the second time and the great experiences that come from that. Now this is a multi-staged approach, and the goal of the campaign initially is to drive brand perception. So the good news around that is we're actually starting to see really strong early momentum, specifically with the market that we're targeting, women ages 18 to 24. And we've seen increases of over three points in both brand consideration as well as intent. That's great progress, just knowing that we're a couple months in and we're in major markets here in the United States and in the U.K. I personally see it all over Los Angeles, especially in my commute from Manhattan Beach over to the Tinder headquarters. Now as Gary has said, we started to see some really strong improvement in top of funnel. So that's great to see as well. But this is the first stage. So what we're starting off is building that positive brand platform, which we then can build upon as our marketing teams are working super closely with our product team. And then down the road, I'm really excited about those next stages of the campaign, which can describe more of our product features and what that means for the overall community in Tinder. We expect that the long-term effects of these campaigns will be to improve, a brand perception and then accelerate downloads and registrations. Gary, do you want to take the second part?
Gary Swidler: Sure. On capital allocation, as we talk about in the letter, the company generates a significant amount of cash flow, and we don't want to just build cash on the balance sheet for the sake of building cash on the balance sheet. We want to return it to shareholders. And so it's our responsibility to look with our Board of Directors at all of the tools that are available to return capital to shareholders, which really includes dividends and buybacks. And so we're not going to rule anything out. The Board authorized a new large share buyback, and that's – our plan is to implement that. But the world has evolved, valuations have evolved. We're not happy with where our stock price is. And to the extent that dividend makes sense at some point in the future, we're not afraid to consider that. So we'll look at all the tools. We constantly evaluate them. And we'll see kind of what we think makes the most sense as a way to return the capital to shareholders. So that's our thinking on capital allocation.
Daniel Salmon: Okay. Very helpful. Thank you both.
Operator: Our next question comes from Shweta Khajuria with Evercore ISI. Please go ahead.
Shweta Khajuria: Okay. Thank you very much for taking my question. Could you please talk about Hinge? You're guiding to $400 million in annual revenues. You're reiterating your guide. How should we think about Hinge's sustainable growth and margin profile as an asset? And what gives you confidence that Hinge and Tinder both can grow concurrently? Thank you.
Gary Swidler: Sure. Let me take that one. Thanks, Shweta. What I would say, first of all, on Hinge, obviously, we're very pleased with the traction that the brand has. And by that, I mean a couple of things. First of all, its resonance, its ability to resonate in markets outside of core English-speaking markets, that's something that was not assured. And when we go into a market like France, which is different than a market like Germany culturally, and the fact that the brand resonates and gets organic traction in both markets, that's really encouraging and tells you that the brand really has the ability to expand around the world. And the fact that the brand has significant organic traction in a market like India, which is obviously very different than France or Germany or any other European market, without any marketing or other efforts by Hinge in that market, that's a very encouraging sign for global expansion as well. So that's the first point. And we really do believe that the product experience at Hinge as well as their brand story around design to be [indiscernible] are both really resonating with users, and that's really a critical fact. The other thing, I would point out is that Hinge is very early in its monetization journey. It's got a lot of runway on monetization. It's got a lot of runway globally on user growth. So it still has a lot to do and a lot of runway, and we're focused on capturing that and it's just really a matter of time for all that to happen. So when you factor that all together in terms of kind of what do we think that means from a numbers perspective, we think that Hinge can maintain growth rates around what it's going to do this year on a percentage basis and drive to be a $1 billion-plus revenue business over the next few years, if you look at, let's say, a four, five year plan. And I think it can do that by making the right levels of investments over the next few years in international expansion, just as we're doing in Europe this year. And so I think that, that will put some pressure on margins at Hinge over the next couple of years as the growth continues to be very strong. And then gradually, the business will get to a level of margin that's more consistent with the overall company level of margins. And so we're looking forward to seeing that kind of financial performance out of Hinge. We took a lot of effort in the shareholder letter to talk about how we think there's ample opportunity for both Tinder and Hinge to grow at the same time. And that we think the cannibalistic effects of Tinder on Hinge – sorry, of Hinge on Tinder are not as much as people may think. So I'm not going to reiterate all that there. But I will just emphasize something that we said in the letter, which is important to understand, which is that the product experience at Tinder and Hinge are different and the brand ethos of Tinder and Hinge are different. And consumers understand that, and some consumers prefer one to the other, but many, especially young users, use both because they use them for different purposes. And they like certain aspects of one and certain aspects of the other. And so all of that tells us that we can grow Hinge and Tinder simultaneously, and that the overall impact of having both of those brands in a given market is accretive to Match Group's overall growth, much like we're seeing in the French market with some of the data that we've provided in the shareholder letter. So hopefully, that gives you some color to your questions.
Shweta Khajuria: Yes, that's helpful. Thanks, Gary.
Operator: Our next question comes from John Blackledge with Cowen. Please go ahead.
John Blackledge: Great. Thanks. I thought there was interesting color in the shareholder letter on Tinder's paying user opportunity in North America, in Europe in the 18 to 34 demo. Given Tinder's recent paying user growth challenges, what do you see as kind of key drivers of getting both the lapsed and/or never-been users to the platform? And as a follow-up, it feels like what you laid out implies there's ample runway over time for further Tinder payer paying user growth? Thanks.
Gary Swidler: Sure. Thanks, John. So it's important to understand that reactivating lapsed users at Tinder has always been one of its key components of growth and something that they've actually been very good at historically. And as you point out, and we said in the letter, there's a very large pool of lapsed users for Tinder to go ahead and reactivate. But what we've seen in the last few quarters is that the Tinder product experience has not met some users' expectations. Tinder's ability to reactivate those lapsed users has declined as well. So if you put it kind of simply, Tinder hasn't given lapsed users enough reason to come back to the product. And so as the team, led by BK, improves the product experience, we're optimistic that Tinder's success rate in reactivating these lapsed users will also increase. And we can really say the same thing for attracting new users as well, is that as the product experience and the brand narrative improve, Tinder should do a better job of attracting new users. Now obviously, it's much easier to re-attract a lapsed user who's used the product before than someone knew who's never tried it. But Tinder has to succeed on both fronts, attracting lapsed users and new users to achieve the level of growth in terms of overall user growth that we think Tinder needs to achieve. So it needs to push on both fronts and accomplish that. But as you said, and the letter again makes clear, there's a big pool of lapsed users in the developed markets, Europe, North America, for Tinder to go and reactivate. And there's a really big pool of never-tried users in other geographies in APAC and the rest of the world that have never tried Tinder. So there's ample runway for growth, both in terms of reactivating the lapsed users and also attracting first-time users that Tinder can go. And it's really just a question of product and brand execution to really achieve the level of user growth that we would like to see at Tinder.
John Blackledge: Thank you.
Operator: Our next question comes from Lauren Schenk with Morgan Stanley. Please go ahead.
Lauren Schenk: Great. Thanks. Maybe just one on Hinge. As we think about international expansion, I think you're now in all the major markets in Europe, how are you thinking about second half expansion? Any thoughts or timing around when the app might enter Asia, understanding those markets are still a little bit difficult right now? Thank you.
Bernard Kim: Thanks, Lauren, for the question. I'm really excited about Hinge's performance. Like Gary mentioned, we're on track to hit $400 million this year, and that's incredible from where we started with Hinge joining the family just five years ago. The progress that Hinge have made so far has been fantastic. But Hinge international expansion continues to be one of my top priorities for this year. When we go into these markets, we don't just localize the apps, but we actually culturalize these apps and make the experience what makes sense for daters in each of these individual markets. That also extends across our marketing message. So to use a European term, we do a bespoke approach of going to market, but also entrenching ourselves in these markets as well. So our plan this year is to establish Hinge across Europe as the intentioned dating app. It's really important for us that we continue on this steady path throughout the year. We are in most markets today but we have a lot more work to do, and that's going to unveil itself over the next year. We're actually going to consider new markets outside of Europe in 2024, but we're focused on Europe in 2023. Thanks for the question, Lauren.
Operator: Our next question comes from Alexandra Steiger with Goldman Sachs. Please go ahead.
Alexandra Steiger: Thank you for taking my questions. So in the context of your Q2 revenue guide, which anticipates low single-digit growth, can you give us a bit more color on how we should think about the building blocks of your updated 2023 revenue guide? What are the different assumptions that went into the guide initially? And how did these evolve since the last update? And then lastly, what are some potential areas of upside or downside when thinking through 2023 revenue growth? Thank you.
Gary Swidler: Sure. I'll take that one. So as we talked about in the letter, we're confident that we're going to get to Q4 Tinder direct revenue growth and total company revenue growth rates year-over-year in the double digits. It's still a little early to pinpoint exactly what level in there because we're only at the beginning of May. There's a lot of initiatives in flight, a lot of momentum building in the business. So we really need to see a little bit more how things are going to play out. But obviously, April has been encouraging, as I talked about. And so we feel good about the potential for exit rates in Q4. And so if you look at kind of what we achieved in Q1, you look at what our outlook is for Q2 and then what we think is going to happen by Q4 and you extrapolate Q3 to get there, you end up with a growth rate overall of around five or so percent, sort of in that neighborhood. The biggest swing factor, which I'm sure is apparent to you and to others as well, is really what's going to happen in terms of the Tinder trajectory. The marketing campaign, the momentum at the top of the funnel as well as all the revenue initiatives that we have in place are really going to determine where exactly we land for the full-year growth rate and certainly, the Q4 exit rate. So that's really the big swing factor. And we've given, I think, a lot of color on what we're seeing and what gives us confidence in where we're going. The other thing that we're monitoring is the macro environment, which I mentioned is having impact on à la carte at Tinder, which is a reasonably significant component of its revenue. And right now we're not seeing any big movement one way or the other in terms of our expectations on what's actually happening at à la carte. So our trajectory for the year assumes that à la carte kind of continues the way it's been with not modest major swings up or down. That is a potential swing factor or a change in assumption. But right now, we don't see any evidence that our assumptions around à la carte are inappropriate. And so that's all, I think, properly baked into our outlook at this point. So those are the things that we're watching as the year progresses.
Alexandra Steiger: Thank you.
Operator: Our next question comes from Benjamin Black with Deutsche Bank. Please go ahead.
Benjamin Black: Great. Thanks for the question. Just pivoting to costs, where you obviously reiterated the guide for AOI margins to be at least flat in 2023. So if we look beyond App store fee changes, what are the major swing factors that could drive upside or downside there? Is there room to tighten up the cost structure any further? And how should we be thinking about the trade-off between revenue growth and expense moderation at the legacy brands? What's sort of baked into your outlook there? Thank you.
Gary Swidler: Sure. So in terms of margins, first of all, we're committed to maintaining flat or better margins for the year. And so that is one of our guiding principles around this. I think the biggest swing factor for the year is what I just talked about with Alexandra's question, which is really around Tinder's trajectory. Tinder is a very high-margin business. And the more growth we get out of Tinder, the more higher margin we get out of Tinder, the more that's going to help improve the overall company margin. So that's the biggest swing factor. So obviously, driving growth at Tinder is job one. In terms of your question around cost savings, we are being very disciplined around cost, very thoughtful on the marketing side, on expenses generally. There's always more you can do, but our first goal is to drive revenue growth. And so we want to be thoughtful about the trade-offs generally between cost savings and revenue growth, and we're going to protect the ability to continue to grow revenue. Because as I said before, that really is job one within the confines of maintaining flat or better margins for the company for the full-year. In terms of the trade-offs we're making at the Evergreen Brands, that is obviously a source of reducing marketing spend there to spend more at marketing at Tinder and Hinge. And as we see momentum in those businesses, it makes us want to spend more into those marketing efforts. And so we're trying to calibrate that, which is our job in terms of managing a portfolio. Right now, I feel like our outlook for the year contemplates a sufficient level of marketing spend at the Evergreen Brands to maintain declines in those brands that are manageable and allow us to invest at the levels we feel we need to invest in at both Hinge, Tinder as well as some new initiatives like The League and the new app that we're talking about rolling out in the summer. So I think all of that is appropriately incorporated into our outlook for the year and leaves us with the ability to generate flat or better margins, as we've been saying.
Benjamin Black: Great. Thank you very much.
Operator: Our next question comes from Justin Patterson with KeyBanc. Please go ahead.
Justin Patterson: Great. Thank you very much. Perhaps a multipart big-picture question. BK, you're not alone in saying AI is a meaningful platform shift like mobile. Match does have a solid history of navigating platform shifts, albeit with new brands, often emerging and legacy brands slowing. Can you tease out how you think this can transform the dating experience and how it changes the opportunity set through the existing brands and some new ones you're incubating? Is this something you can build organically or acquire your way into? And then for Gary, how does AI change your expense profile over time? Thank you.
Bernard Kim: Great, Justin. I'll take the first part of that question. Look, I think the last couple of months had been super inspiring for me personally as well as our teams. We're aligned with our leadership team and our management team around AI, thinking that AI could be transformative to the total category. The way that I guess I think about it is like is the dater experience and improving that dater experience by utilizing AI. Maybe we can like step through an experience of some of our daters are in our apps. And then they sometimes need help getting unstuck or thinking about, "How do I open up a conversation?" And usually, they'll phone a friend. And sometimes, that friend is not available. Imagine that AI can instantaneously help instead, maybe helping and nudging people to pick great date ideas, opening up a conversation, how to like continue that conversation, in some cases, closing out a conversation and not ghosting someone in our apps. It's really still very early, but the team is focusing on how this can transform dating. But one thing that I do want to clarify is that I do not believe that AI can replace IRL dating. True human connections are core to our business, and we think that we can utilize AI to help people get together in the real world. We have a great team, including our new CTO, working on this, and we're embracing really new exciting ideas. We're really excited to present more updates to you all in the upcoming quarters. And we have to make some decisions around either we build, we buy or we partner, but it's still too early to say.
Gary Swidler: Yes. And just picking up on that in terms of expenses, it is kind of early to say what is going to happen from AI in terms of expenses, just because we don't know exactly what kind of efforts are going to be needed. I would point out a couple of things. Obviously, one, we're mindful that some of these areas of AI and the folks needed to undertake those efforts can be very expensive. And so we want to do this in a smart way. Certainly, we'll try to leverage outside vendors, third parties wherever we can. And I'm sure more and more of those are going to crop up. So we're not planning to build a massive team focused on these efforts and really balloon expenses as a result of that. I will also tell you that we have significant capabilities in this area already at Tinder as well as at Hyperconnect, so that we can leverage some of those capabilities. And certainly a place like Hyperconnect, where in Korea, these types of engineers are much more readily available and much less costly, gives us a good platform to expand those efforts. And so we're very mindful of trying to keep the expenses under control as we build out the AI efforts, and we'll leverage either outside parties or the capabilities we already have like the Hyperconnect business. We probably have time for one or two more questions. Sorry, go ahead operator.
Operator: Thank you. Our next question comes from Brad Erickson with RBC. Please go ahead.
Brad Erickson: Yes. Thanks. Just a couple of follow-ups here. I think historically, the company had looked at some of these features geared for women and had largely, I guess, not really decided to pursue them. So I guess just what's changed? Maybe speak to any testing data from these early efforts to kind of reinforce the thesis there. And how do you think about payer penetration on that, those products relative to Tinder overall? And then I might have missed it from earlier, but just quickly on the free cash flow guide. I think that was a little bigger step down versus the revenue or EBITDA. So maybe just anything to call out there that's driving that? Any comments on sort of general free cash conversion relative to EBITDA going forward? Thanks.
Gary Swidler: Sure. Why don't I take that, and I'll try to do relatively quickly. Look, on the women's experience, I think maybe there's a little confusion around two things. Women's experience on dating apps has always been front and center and very important. It's important to attract and retain women, and that obviously helps attract and retain men. And so we've always been very focused on that aspect of the experience. That's a little different than women making the first move and things like that. What we're talking about really is the fundamental experience of women on the dating apps. Are they finding the people that they want to find? Are they treated respectfully? Those are the things that are really critical to women enjoying their experience on the app. And that's really what we're focused on and talking about. So it's not a payers' thing. It's not a revenue thing in particular. That's not to say there won't be some levels of revenue associated with improving the women's experience. But we're talking about making the experience at Tinder, in particular, really something that women enjoy and come back for and seek out, and that's what we're trying to evolve. And that's going to be a large body of work over multiple quarters. It's not just one feature here or there. In terms of your question on free cash flow, we are becoming more and more of a cash taxpayer. So that might be something that people have underestimated. But I do think we're going to generate approximately $800 million this year, and I do think that number will increase over time. So there's a significant amount of free cash flow generation, which factors into our capital allocation policy.
Brad Erickson: Got it. Thanks.
Gary Swidler: Sure.
Operator: Our next question comes from Cory Carpenter with JPMorgan. Please go ahead.
Cory Carpenter: Gary, you touched on the app stores a bit in your prepared remarks, but hoping you could expand on your thoughts around some of the developments like the Epic and Apple's appeals early Google concessions in the UK, et cetera? And just what you think the potential impact could be to Match? Thank you.
Gary Swidler: It's an important question, Cory, and they left you like one minute for me to answer it, but I'll do the best that I can. So look, there's been a lot of positive developments in terms of App Store over the last six months in a lot of different jurisdictions. There's stuff going on in the Court systems in different places. There's stuff going on in the legislative process, and there's a lot of developments. We'll be the first to admit that the progress in these areas are a lot slower than any of us would like. The wheels of justice turn slowly as an expression for a reason. But ultimately, we think that we're going to get to a point where there's going to be meaningful changes to the App Store ecosystem to make them more fair and to benefit consumers. So you mentioned Epic Apple. There's also been things going on in the UK, CMA decision as well as other things in various markets that we think make it likely that developers will, at a minimum, be able to offer alternative payment systems to customers, which we think will result in improved conversion and also really enhance customer satisfaction. So we're looking forward to that. In the EU and in some other jurisdictions like India, we think there's going to be changes that are going to result in app store fee changes as well, particularly as a result of the DMA in Europe or in the EU in 2024. So that's a big one to monitor, which I think people generally are aware of. I don't know specifically if this Epic Apple case is going to result in App Store fee relief, but it's very possible. It remains to be seen if that's going to lead ultimately to App Store fee relief. And then when you sort of factor all this in with all these different changes and things going on in all these different jurisdictions, I think what it means is the App Stores have to ask themselves a question, which is are they going to respond to these changes in a piecemeal basis and have different policies and fee structures and approaches in different markets? Or are they going to have one global policy that addresses all of these really significant and valid concerns and change App Store policies to reflect a more fair App Store ecosystem for consumers? And so that's what remains to be seen. I think that probably plays out over the next 12 months, and so we need to keep watching it. But I know there's a lot of moving pieces on that. I know you're trying to follow it closely. And so I really do appreciate your efforts in that regard. And we'll continue to update on it. Take one more quick one.
Operator: The last question will comes from [Thomas Delaney] with Stifel. Please go ahead.
Unidentified Analyst: Yes. Thanks for taking my question. I just have one quickly. Is it possible to get a little bit more color on the new app that you guys are launching this summer?
Bernard Kim: I can take that question. We have a big announcement planned for later this month, and we're really looking forward to telling everyone about it then. I'm personally really excited about it. So that's all that I can say on that one. But to end and close this out, I want to thank everyone for joining our call and really appreciate everyone's time.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.